Executives:  Mike Fries – CEO Bernie Dvorak – Co-CFO Diederik Karsten – European Head of Ops Tom Mockridge – CEO Virgin Media Balan Nair – Chief Technology Officer
Analyts: Jeff Wlodarczak – Pivotal Research Group Ulrich Rathe – Jefferies & Co. James Ratcliffe – Buckingham Research Tim Boddy – Goldman Sachs Vijay Jayant – ISI Group Matthew Harrigan – Wunderlich Securities James Britton – Nomura
Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to Liberty Global's Second Quarter 2014 Results conference call. This call and the associated webcast are the property of Liberty Global, and any redistribution, retransmission or rebroadcast of this call or webcast in any form without the expressed written consent of Liberty Global is strictly prohibited. At this time, all participants are in a listen-only mode. Today's formal presentation materials can be found under the Investor Relations section of Liberty Global's website at www.libertyglobal.com. Following today's formal presentation, instructions will be given for a question-and-answer session. As a reminder, this conference call is being recorded on this date, August 6, 2014. I would now like to turn the conference call over to Mr. Mike Fries, CEO of Liberty Global. Please go ahead, sir.
Mike Fries: Thank you. Good morning, everybody, or good afternoon if you're in Europe. We have on the call this morning our traditional crew, Charlie Bracken and Bernie Dvorak, our Co-Chief Financial Officers; Diederik Karsten and Balan Nair, European Head of Ops and our Chief Technology Officer. Also Tom Mockridge who runs Virgin and Richard Ramos from Latin America, in case you had questions there, which we usually do, and Rick Westerman, who you all know. We're going to start, first of all, with some Safe Harbor statements from the operator. Go ahead, operator.
Operator: Thank you. Page 2 of this slide details the Company's Safe Harbor Statement regarding forward-looking statements. Today's presentation may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including the Company's expectations with respect to its outlook and future growth prospects, and other information and statements that are not historical fact. These forward-looking statements involve certain risks that could cause actual results to differ materially from those expressed or implied by these statements. These risks include those detailed from time to time in Liberty Global's filings with the Securities and Exchange Commission, including its most recently filed Forms 10-KA and 10-Q. Liberty Global disclaims any obligation to update any of these forward-looking statements to reflect any change in its expectations, or in the conditions on which any such statement is based. I would now like to turn the conference call back over to Mr. Mike Fries.
Mike Fries: Thanks. Our agenda today is going to be similar to what we've done in the past. I'll provide some overview comments, Bernie will jump in with the numbers, and then we'll get your questions. And as always, we are speaking from slides. So if you can access those, it may help a bit. I'm going to start on slide 4, where we've captured the key operating and financial highlights for the quarter. And generally, if you're only going to read one slide, this is a good one to read. Certainly, the most important value driver for us is steady organic growth in our subscriber base, in our revenues and in our cash flows. And it's likely that one of the main reasons you own our stock, is that we have a sustainable and exciting operating platform in Europe. And the second-quarter demonstrated that again. We added 240,000 new RGUs, and a total of 584,000 year-to-date. And we reported 7% operating cash flow growth through June. On top of that, our adjusted free cash flow of $1.1 billion was up 40% year-over-year. And as we say, those results speak for themselves. In the middle of the page, we highlight some strategic developments. We're on track to close the Ziggo deal in the third-quarter or fourth-quarter. And are now in negotiations with the European Commission on a remedy package for that that will remain very constructive. In a slide or two I'll talk a bit more about our recent content investments. The 3 deals we've announced thus far, all fit within the framework we've set for ourselves. They're financially attractive opportunities that further our core distribution platform, and, at least in the case of these 3, require very limited equity capital. And as we do on every call, I'll touch upon our advanced TV platforms, where a ton of innovation is happening every quarter. All of it focused on keeping our customers glued too their TVs, tablets, and smartphones wherever they may be. And then lastly on the last slide, our balance sheet and capital structure remain geared towards equity returns. With nearly $5 billion of consolidated liquidity at June 30, and the leverage inside our target range of 4.9 times. Our debt profile is derisked, in terms of interest rates, currency exposures and maturity profile. In fact, less than 20% of our debt is due between now and 2020. While our buyback program is on hold do to the Ziggo offer, we have still purchase $900 million of stock through June, and remain committed to using the balance of our program, roughly $2.6 billion by the end of 2015. So this was a strong quarter for us. In particular, on the operational side. So what's driving our growth this year? As we look at it, 5 key things stand out across our European platform, and they're summarized on slide 5. First of all, we continue to gain market share in broadband, voice, and mobile in just about every country. And our video business is showing remarkable resiliency as part of our superior triple and quad play bundles. We estimate that in 4 of our 5 largest markets, we took over 75% of all new broadband subs, and over 100% of all new voice subs in our footprint over the last 12 months. Secondly, as we ramp-up innovation with products like Wi-Fi Spots, Horizon Go, and super fast broadband, we have focused considerable attention on our pricing strategies. As ever, or our proof of customer continues to ramp, as we sell more services in each home. In fact, we crossed the $50 ARPU mark in the second quarter and for the first time, reached a ratio of at least 2 products for every connected home on average. But we're also taking reasonable price increases across our footprint. In particular, in big markets like the UK, Belgium and Switzerland, and we have planned price increases across the majority of our German video base, starting in September. The third growth drivers is our mobile and B2B businesses, which currently represent over 15% of our total revenue, and are delivering top line growth rates that exceed in many cases our triple play business. The mobile revenue growth 9% in the second quarter, primarily resulting from strong offers and a growing quad-play base in the UK and Belgium, and of course we're just getting started in Switzerland. And B2B revenue growth was 8% year-over-year in the second quarter, reflecting strong Shobo growth, in particular, and 6% revenue growth in the UK, our largest B2B operation. The fourth driver for organic growth for us is scale, pure and simple. We've talked about the benefits of a large and geographically contiguous footprint in the cable business, and now we're reaping those benefits. Even with a 40% operating cash flow margin, which is, by the way, up nearly 200 basis points and among the highest in the industry, we still feel good that there's room for even more profitability. Not just in operating cash flow, but also free cash flow as we drive procurement savings, process improvements, and overall lower capital intensity on our run rate business. And of course, lastly, supercharging these scale benefits are the merger integration synergies we derive from acquisitions like Virgin Media and our pending purchase of Ziggo. Together, and I'm just using figures we've made public so far, we estimate a combined capital benefit of well over $500 million annually from just these 2 deals. So, we have strong existing and future drivers, supporting our organic growth, and underpinning our results here to date, which also gives us great confidence that we'll achieve or exceed all of our public guidance targets for the full year. I'll just spend a few minutes talking about our video and broadband businesses, as well as our recent moves in the content space before handing it over to Bernie. And I'll start with video on page 6, where we've summarized the state of play in a few key areas. We've said many times, I know I have said many times, that the future of our video business hinges on 3 things in particular. First, the simple migration of our remaining analog cable subscribers, all 7.5 million of them, to digital. We've already converted 64% of our analog video subs, and those 13 million digital subs generate more than twice the video ARPU. And, of course, with 7.5 million analog subs to go, we've got a great built in growth opportunity. So that's number one. Secondly, we're moving more and more of those digital subs, in fact 3 million of them so far, to our advanced TV platforms, like Horizon, which has now launched in 4 countries. And I can tell you that in markets like Holland and Switzerland we know one thing, we know that Horizon subscribers are happier. They're loving the apps, they're loving the cool user interface, they're watching more TV on more devices. And I think most importantly, for your benefit, they're churning 20% less and actually spending 30% more per month than our regular digital subs. And third, perhaps most importantly, we are revving up the innovation engine in video. Starting, for example, with the cloud-based version of Horizon, using the RDK platform that we own together with Comcast and Time-Warner Cable, which provide better functionality, easier innovation, and ultimately lower costs. We're already in field trials in Poland, and Chile is next up. Also we've launched things like My Prime, which is our new streaming video service in Holland, with over 2,000 video assets. And My Prime is free to our mid- and high-tier subscribers, and it also retails at EUR6.50 per month for lower tier subscribers. By almost any measure, it has exceeded our expectations as an SVOD product with over 50% of the entitled subscribers trying it, and weekly usage of around 20%. The average My Prime users spent 4 hours per week inside the app, and those are really unbelievable numbers in comparison to any of our peers. We also recently launched our new TV everywhere app, branded Horizon Go, in 5 markets. Which includes a substantial amount of out-of-home content that's available just for Wi-Fi but also 3G and 4G. So, all of these developments make us increasingly confident in our long-term competitive position, and the growth outlook of our core video business, which still provides a substantial amount of revenue and cash flow, of course. And switching gears on slide 7, broadband continues to be the most important part of our bundle, and increasingly defines the connectivity relationship with our customers. Looking at our broadband and voice connections on slide 7, since we generally sell them as a bundle, total net adds of $310,000 in the second-quarter. We're up 7%, year-over-year. And broadband consumption continues to drive usage, speeds, and ARPU per customer. Average downstream speeds across our 15 million broadband subs now exceed 56 megabits per second, and consumption averages 1.8 gigabytes a day. Both of those numbers are up 30% year-over-year, and they're going nowhere but up, which I think plays right into our hands. In a market like Germany, for example, our fastest-growing broadband market by the way, we offer speeds that are 3 times faster than digi Telecom for comparable prices. And we've now launched 200 megabit speeds in 9 countries. I'm pretty sure your clear on our longer-term broadband roadmap. I know we've talked about it. We're offering 500 megabits per second on our 3.0 platform, and a next-generation of docsys will cost-effectively take us all the way to 10 gig if and when we want to. Needless to say, we intend to exploit and our superior network to ensure that our customers are enjoying the best fixed connection available, since we estimate 70% to 80% of all data consumption still occurs inside 4 walls. And when our customers roam outside those walls, we expect to keep more and more of them connected to our network, as we roll-out our MVNO platform across 8 countries, 3 of which are already operating as full MVNO mobile networks. With 4.3 million mobile subs and more than 2.5 million Wi-Fi home spots, which is growing rapidly every month, we're now in a position to cost-effectively provide customers with a seamless broadband everywhere experience. And I'll close out my remarks with a quick update on our moves in the content space on slide 8. We know this is an area of keen investor interest. So I want to be sure to address your questions up front, and in the Q&A if necessary. On our last earnings call, I articulated the strategic framework that resulted in the sale of Chellomedia, our linear channel platform. And our more recent investments in 4 key areas, big air broadcasting, OTT and non-linear content, production rights and sports. I'm not going to go through each of these again here, except to say we believe strongly that these 4 opportunities can help drive our core distribution and connectivity business in unique and valuable ways. Maybe just a few examples will help reinforce the point. And I'll start with the 50% stake in De Vijver media, a leading commercial broadcaster in Belgium, which we feel will broaden Telenet's voice and reach in the Flemmish media market. And provide us strategic with access to the stations who are now in content production house. The investment in our OTT streaming service My Prime, which I just talked about, enriches our digital video platform. And also preempts and coopys the Netflix attraction by essentially offering the same product for free. The 50/50 joint venture with Discovery to purchase all 3 media directly connects us to the largest independent production group in the UK with a diversified catalog of more than 8,000 hours of content across numerous genres. And our cost-effective acquisition of tier 2 sports, like Belgian football, gives us non-exclusive access to all matches of the Jupiter pro league there on our sports pay TV channels. And the main point to take away here is that these are generally longer-term strategic moves, and will vary by market. But in all cases, represent what we believe are attractive financial investments. Just 1case in point, our recent purchase of 6.4% of ITV was largely debt financed. On paper, we've doubled our equity investment reflecting several factors, not the least of which is that ITV is a great company, with a strong management team, and plenty of strategic and operating growth potential in our largest cable market record. In total, the 3 deals I just spoke about only required about $300 million of equity from us to finance and close. And on a $65 billion balance sheet, that seems to us like smart and potentially very impactful investments over the longer-term. And I'll save the rest for your questions, if you have any. And at this point, I'll turn it over too you, Bernie.
Bernie Dvorak: Great. Thanks, Mike. Before I prevent our financial results, 2 quick reminders. First, Chellomedia assets that we sold in January 2014 are treated as a discontinued operation. So those results are excluded for all periods. And second, when we refer to Q2 2013 or our first half 2013 combined results in this presentation, they include Virgin Media for those full periods, even though we did not own Virgin prior to June 8th of last year. So beginning on slide 10, we generated $9.1 billion of revenue and $4.3 billion of OCF for the first half of 2014, compared to a $8.5 billion of combined revenue, and $3.8 billion of combined OCF from the prior year. The $600 million increase in revenue and $450 million increase in OCF was the result of organic growth. As we post rebased revenue growth of 3%, and rebased OCF growth of 7%, as well as favorable foreign currency movements. This organic growth resulted in part from triple-play success, driven primarily from the volume effect of adding $1.3 million organic RGUs in the last 12 months, as well as from ARPU increases. We've also seen improved performance in both our B2B and mobile businesses, particularly in the UK. Our OCF margin for the first half of 2014 was 47%, which compares to a combined OCF margin of 45% for the first half of last year. This increase was primarily due to scale and cost discipline that more than offset the impact of higher programming costs. Favorable non-recurring items, which primarily helped Q1, also contributed to our increased margin. As Mike mentioned, we are making good progress in the UK on our merger integration. As a result, Virgin Media's first half 2014 OCF margin improved by over 200 basis points year-over-year to 43%, benefiting in part from the realization of synergies. Slide 11 depicts a summary of our regional results. In Europe, we generated revenue of $8.50 billion in the first half, resulting in rebased revenue growth of 3%, while we delivered OCF growth of 7% to $4.1 billion. Our operations in Western Europe also posted rebated revenue growth of 3%, and rebased OCF growth of 7% year-to-date, while our operations in Central and Eastern Europe, which together represent about 7% of our European business, posted flat rebased revenue, along with 1% rebased OCF growth. Our big 5 markets in Western Europe, which account for roughly 90% of our European business, delivered solid results. On rebased revenue, key performers include our German and Swiss businesses, which grew year-over-year by 7% and 5%, respectfully. Approximately 65% of our German top line growth was attributable to volume growth, driven by our market share gains, especially in broadband. Organic growth in Switzerland was driven by even split between volume growth and improved ARPU. On rebased OCF, our German business led with 13% rebased OCF growth, while our Belgium and Swiss operations each posted 9% growth year-to-date. And of particular note, Virgin Media generated 6% rebased OCF growth in the first half, while our Dutch OCF was down just 1%, a significant improvement compared to recent quarters. Moving to Latin America, we generated just over $600 million of revenue or 4% rebased growth. And $230 million of OCF, equating to 18% growth for our combined businesses in Chile and Puerto Rico. VTR's performance, consisting of 5% rebased revenue and 13% OCF growth, was supported by healthy volumes across both triple-play and mobile products, while faster OCF growth was driven by an OCF deficit reduction in wireless. Liberty Puerto Rico delivered 3% top line growth, with over 30% rebased OCF growth in large part from synergies associated with the OneLink acquisition. As we look to Q3, we expect rebased OCF growth for the total Company to be lower as compared to our second-quarter performance, based on, among other factors, our expectations of higher marketing spend in markets like Germany and the UK. However, we remain confident in our ability to deliver higher rebased OCF growth this year, as compared to our combined rebased growth in 2013. When you turn to slide 12, we provide a second-quarter performance in our top 5 markets in terms of both rebased top line and OCF growth. And it's worth pointing out that we delivered higher rebased revenue growth in 4 of 5 markets, as compared to Q1. Starting with Germany, we produced $690 million of revenue in Q2, or 5% rebased growth, and $430 million of OCF or 11% rebased growth. This growth was fueled by a combination of volume and higher ARPU from broadband and digital TV services. Our German OCF performance was helped by lower direct costs and strong cost controls, resulting in a record OCF margin north of 62%. Moving to Belgium, Telenet's $580 million in revenue and $290 million in OCF, translated into rebased revenue and OCF growth of 4% and 2%, respectfully. Although we achieved modest improvement in our top line growth between Q1 and Q2, our rebased OCF growth declined from 17% in Q1 to just 2% in Q2, due in part to higher costs associated with mobile handset subsidies in Q2, and a favorable settlement of a $17 million operational contingency back in Q1. Switzerland delivered its strongest Q2 quarterly performance in more than 5 years, with rebased revenue growth of 6% and OCF growth of 9%. And similar to the first quarter, UPC Cablecom's, top line performance was primarily driven by ARPU and volume growth. Moving to the UK, Virgin Media delivered approximately $1.8 billion of Q2 revenue, and $770 million of OCF, reflecting 3% rebased revenue and 6% rebased OCF growth. This is Virgin's best quarterly financial performance since we acquired the business. And of note, its top line growth of 3% improved from 1% in Q1. As we benefited from our February price increase, as well as stronger results in our mobile and B2B businesses. With 12% and 6% rebased revenue growth, respectfully. This performance would have been better if not for a GBP7 million negative impact from a legislative change on VAT which took effect the 1st of May. The UK rebased OCF growth of 6% was supported by cost savings and synergies. And our UK OCF was also adversely impacted by the VAT change. However, that impact was largely offset by a benefit from a non-recurring item in the quarter. And finally, our Dutch operations showed continued progress with a 1% rebased revenue decline in Q2, which represents our third consecutive quarter of improved performance, while rebased OCF growth returned to positive territory with a 3% increase, our best result in over a year. Turning to slide 13, this showcases 2 important financial metrics for us. First, property and equipment additions measured as a percentage of revenue have continued their downward trajectory. For both Q2 and the year-to-date period, our P&E additions were 21% of revenue, or $970 million for Q2 and $1.9 billion for the first half of the year. As compared to last year's combined results, our P&E additions declined by 230 basis points for Q2, and 130 basis points for the first half. These declines were due to a combination of factors, including improved CPE mix, phasing, and lower capital spending on support capital. Turning to adjusted free cash flow, our performance was very strong. We delivered 36% adjusted free cash flow growth in the second-quarter to $725 million, while posting 40% growth on a year-to-date basis to $1.1 billion. The results for both periods were due in large part to organic OCF growth, favorable working capital, and foreign-exchange movements. As a result, we are well on track to achieve our adjusted free cash flow target of approximately $2 billion for 2014. And as is typically the case, we expect that our second-half adjusted free cash flow will be significantly weighted to Q4, due in part working capital swings and the timing of interest payments. Turning to slide 14, we finished Q2 with $42.6 billion of total debt, down from $44.7 billion at Q4. As we used existing liquidity to pay down some debt at Virgin Media and UPC. Lower borrowings combined with our underlying OCF growth resulted in a decline in our gross leverage from 5.3 times at Q4 2013 to 4.9 times at Q2. Both of these ratios exclude the debt that is backed by the shares we hold in Sumitomo and Ziggo. We continue capitalizing on favorable market conditions, and our maturity profile has improved such that our average duration is now over 7 years with less than 20% of our total debt coming due before 2020, as compared to nearly 30% of our debt at Q1 2014. Our fully swapped borrowing cost is now 6.6%, which reflects a 20 basis point drop in just the last quarter, reflecting a combination of new debt coming in at lower rates and repayments of higher-cost debt. We ended Q2 with total consolidated liquidity of $4.7 billion, including $1.1 billion of cash and cash equivalents, and $3.6 billion of maximum borrowing capacity under our credit lines. And finally, we remained active in our share buybacks during the first half. Through June 30th, we have repurchased just approximately $900 million of equity this year, including nearly $500 million in the second quarter. And as a result, we have bought back $1.9 billion in the last 12 months under our $4.50 billion program, and we have $2.6 billion to purchase program by the end of next year, 2015. So in summary, on slide 15, we think our first-half results demonstrate steady execution. Innovation remains a key priority, and we feel great about our product road map. As Mike discussed, we are focused on making smart content investments that will benefit our core cable business. The Ziggo transaction remains on track to close in the second half of the year. And finally, we look forward to seeing continued strong subscriber growth as we ramp-up our Fall marketing campaigns and leverage recent product improvements. And with that, operator, we're happy to take questions.
Operator: Thank you. [Operator Instructions] We'll go first to Jeff Wlodarczak with Pivotal Research Group.
Jeff Wlodarczak – Pivotal Research Group: Good morning, guys. I was hoping you all could provide more color on the Netherlands, which seems to have turned around a lot faster than at least I had anticipated. Has the competitive environment moderated at all, and how sustainable is that turnaround? And then the same thing on Switzerland, which was also quite a bit better than I expected. The sustainability going forward of those results as well would be helpful. Thanks.
Mike Fries: Sure. Hey, Jeff. I'll just do a quick overview, and then let Diederik in particular dive into Holland and Switzerland. I think that, in Holland, what we're seeing, I think, is the continued benefit of migrating our bundles, and our product and pricing strategy, to a more competitive environment. As we've talked in the past, we continue to ramp speeds. We've launched Horizon; we've launched My Prime, our streaming video service. So we are putting significant investments into the products and the services in a market where consumers are demanding those products and services. And if you do that, and you do that well, and you execute, over time, you're going to continue to grab market share, which we're doing. In broadband in particular, we and Ziggo have added, in the last 12 months, a considerable number of broadband subs, while KPN continues to languish, if you will, or have a difficult time. And that's been a trend quarter after quarter after quarter. So, over time, that's going to impact you positively, and then negatively, which obviously it has done. And in the video space, we're investing in Horizon, in particular, which has had great reception. So, with 250,000 subs or something in Holland, which is positive for us. So, those are the main drivers. And then in the flipside, KPN itself I think has slowed down their fiber build. They have taken some modest price increases. They have focused on a bundling and pricing strategy that I think reflects the kind of environment that we both operate in. So, on one hand, we're doing the things we think are necessary to drive our Business. On the other hand, they're acting a bit more rationally. And we are competing very effectively, even on the fiber footprint itself. Do want to add anything to that, Diederik?
Diederik Karsten: No. Just build on what you said, Mike, indeed we also now see a reduction in Germany and the Netherlands. Even in the fiber-to-the-home areas. So, that's showing that, like you said, that our propositions are attractive enough to not only lure in new customers, but also create a stable base – the video creation at a very low – I would say at a very low level means that people appreciate what we offer – most of the additions like the My Prime, the Horizon TV, and the new unified app. And as such, there's no reason to leave us. Looking forward, like you said yourself, Mike, we can't talk on behalf of KPN. We've seen them change into a somewhat more, I'd say, rational conservative advertising and promotional strategy. But that is still step by step to be seen. But we know what we do. We have the mobile launch to come up. So, we have strong cards to play, and with that, if KPN remains rational, we don't see a very different trend. It seems like the down trending has stopped – but cautiousness, too. Does that answer the question?
Jeff Wlodarczak – Pivotal Research Group: Yes, it does. And then in Switzerland?
Diederik Karsten: Switzerland, I'd say – I wouldn't say that Switzerland is like the Netherlands. Some similarities maybe that Swisscom has also signaled such an interest in fiber to the home. But they're a very different mix from what we see in the Netherlands. And as a result, we also see a very – we've seen different performance. If we look at our own performance, it's not a coincidence that it's strong. Also there, we've added speed. We, I'd say, are maxing out on the product propositions, high speeds, good value for money, and good additional video also (inaudible) plus now also a first step into the mobile territory. So, all in all, a strategically well-positioned portfolio first at Swisscom. But which responds to a very strong incumbent being the leader of the market. But a healthy one, which is a better situation to be in, maybe also for us, and what we've seen in the Netherlands with KPN's truck.
Jeff Wlodarczak – Pivotal Research Group: Okay, thank you. Operator Thank you. We'll move next to Ulrich Rathe with Jefferies.
Ulrich Rathe – Jefferies & Co.: Thanks very much. I was wondering whether you could comment a bit on the situation in Germany, where the TV net adds were extremely strong, rather the lack of TV losses was extremely strong. And I was wondering whether you could comment on the drivers and sustainability, and also the strategic rationale? Is it maybe true that you're pushing this harder now in order to protect the up-selling base for broadband, where obviously most of the value is. Is it a strategic decision, or is it just a good quarter and we should revert back to trend before long? Thank you.
Mike Fries: We had a few things that worked in our favor, and continue to work in our favor in Germany. One, we have a strong basic cable business there, and a large digital channel offering. And that's helping us in the context of the competitive environment. Our video churn, we think we managed pretty well. I think it was below 1% net churn in the year. Of course, as you say, we had a zero subscriber loss for the first time, and that was a welcome outcome. We haven't really lost any contracts on the remedies that we originally agreed to on the KBW merger. And I think, personally, the Horizon launch is grabbing folks' attention there. We'll be rolling it out to KBW shortly. It's already in the media, and it has been a very big success so far, despite some early wallows on the platform end. Today, it's very stable, and people are enjoying the benefits of a beautiful user interface, greater functionality. And it's changing the relationship folks have with video, and there's nothing like it in the market. So, everything seems to be working together, on top of just very powerful bundles, and the pricing of those bundles in comparison to our competitors. So, we expect that RGU performance to continue. In Germany, to a large degree, it's just a function of how much we want to spend. We could always drive more RGU performance there if we chose to invest more in marketing. But we are looking for profitable growth, and growth that works with the positive pricing power and the long-term sustainability of the cash flow. So, we couldn't be more happy with the German results in the quarter. And I think you're going to see that continue.
Ulrich Rathe – Jefferies & Co.: Thanks. That's very clear. Thank you. Can I also follow-up please on your earlier comments on the Netherlands. Just taking a step back, cable has been taking share from KPN for a long time. And KPN obviously then ended this period last year that you called irrational behavior, where they really tried to defend their share more effectively, with some success. Now, things are reverting back. Doesn't this, from your point of view, increase the risk that KPN again feels so squeezed that they have to dip deeper into their budgets to really defend their strategic and important broadband share? And isn't there also an argument then for UPC or for Liberty as a group, i.e., including Ziggo to maybe lay off a bit? And let the price inflation play out as a major source of growth rather than continuously trying to grab share from KPN, which risks and disruptive market developments? Thank you.
Mike Fries: Yes, I would say that while we're certainly priced aggressively in our market, we're priced competitive. Meaning: We're not in any way a price disruptor in Holland. Our product is better, and that's just the nature of the beast. Our product will be better for a long period of time, as it should be, given what we're able to offer in that marketplace. And I don't believe, personally, and I'll let Diederik add to this, that we're acting irrationally. Our number-one product is EUR55; I think their biggest product is EUR59. It's not as if we're – that's not exactly disruptive pricing. We're just offering a better product. Ours is 120 megabits; theirs is 50 megabits. Ours has Horizon, and theirs has a standard IPTV product. So, we're offering better products and services principally. Not necessarily better prices, better value, and that's what consumers are reacting to. The number, as I mentioned earlier, together we and Ziggo added about 93,000 broadband subs year to date, and KPN has lost 14,000. How long can that continue? I don't know. But we'll see. They have had these kinds of results in the past, but cutting prices, generally, isn't the right answer for someone who's losing 8% revenue and 18% EBITDA. I have a hard time understanding how that could help them. But perhaps investing more appropriately in network build, and cost-effective network build, and driving value into their products, as opposed to driving price down is what I would expect them to do. But what do you think, Diederik?
Diederik Karsten:  I think that is absolutely right. And if it comes to pricing in the market, I think part of what we said irrational, it doesn't mean that we're – we talk about their corporate strategies. But part of what we think was irrational is the way they can try to defend marginal swings in the market shares. Because if you look at us and you look at KPN, there's a mature market with certain swings behind product quality, value, promotions. But the way they started to defend it with a low-priced, second brand in the market called Telfort. If you want to see who is driving low pricing, it is that brand, and it's 100% subsidiary of KPN. And that is what we thought was almost an unnecessary overreaction to a certain development in the market, where we're trying to add value, like Mike said, now with enhanced products and services around that, then dragging the absolute price down. But it seems it's now – it's all fading out. From that point of view, step by step, we feel we're going the right direction.
Ulrich Rathe – Jefferies & Co.: Great, thank you very much. I appreciate it.
Operator: Thank you. We'll move now to James Ratcliffe with Buckingham Research.
James Ratcliffe – Buckingham Research: Good morning. Thanks for taking the question – two, if I could. First of all, can you give us a little more color about what's going on in the UK, on the revenue side in particular? And what's been driving the Q-on-Q acceleration of revenue? Is it business services coming around again, or price, and just some more color on that front. And secondly, can you talk about what product benefits, beyond strategic options, you might get out of the content investments, particularly the 2 broadcasting investments you've made in terms of – is this going to get you better OTT content, or anything along those lines? Thanks.
Mike Fries: Sure. I believe we articulated the revenue components in the Q. But if not, it starts, of course, with the price increase that we took, which is, obviously, starting to layer itself in quarter to quarter. So, that's obviously a big part of it. I think the overall subscription growth was about 3.3%, so not far off the consolidated number. But we did have 12% growth in the mobile product, and 6% growth in B2B, which are both highlights of the quarter for us. And those numbers – I think 3.5% on subscription, triple play revenue, 12% on mobile and 6% on business were offset by some negatives. One was mentioned, which is the VAT issue, and also is the interconnect – some interconnect and regulatory changes. So, we have some headwinds in the market. But over time, those headwinds should hopefully fall away. In the meantime, the corner line business is doing well, in particular mobile and B2B. Do you want to add something to that, Tom?
Tom Mockridge: No, absolutely perfect.
Mike Fries: And then on the free to air investment, if you look at the Belgian one in particular, in a market like Belgium and in Flanders where we operate, we have an important position with consumers, with regulators, with the media in that region. And this particular broadcast asset, which we were able to acquire at 50% stake in what we believe are very attractive terms, gives us access to several things. One is, most importantly, a stronger voice in that media market. What do I mean by that? In terms of advertising, cross promotion ultimately. Dealing with regulators, dealing with changes in the media landscape. Secondly, it allows us to, over time, hopefully, free up and gain access to important content that we think would benefit our video platform, whether it's our SVOD platform there, or any of our online or OTT investments. And then thirdly, it's a natural hedge, if one wants to look at it that way, on other elements of the market there, whether that's re-trans or advertising and things of that nature. So, it's a cost-effective investment in a broad-based, mass-media platform in a market where we have a strong market share and presence that, we know, over time, will benefit our ability to connect and make our customers happy. So, that one makes perfect sense to us. Does it make sense in every market? No. In that market, we think it makes good sense, particularly because we can get in on an appropriate valuation and look at, we think, financial returns that are very appealing, in addition to the strategic benefits I've just described.
James Ratcliffe – Buckingham Research: Great, thank you.
Mike Fries: Yes. The total investment in that deal – I think we invested EUR26 million in the asset itself. And then we have some longer-term commitments in terms of re-trans, investment in the Company. But for a company the size of Telenet, that's not a substantial commitment.
James Ratcliffe – Buckingham Research: Just a quick follow-up: Do you think you get similar sorts of benefits from the ITV investment? Or is that a different kettle of fish?
Mike Fries: That's a different kettle of fish. That, as we've said publicly, and the words you hear was more opportunistic than strategic. But we think ITV – we know ITV is a great business, and a great company and great management. A 6% stake doesn't necessarily allow us to do anything strategic with them, and we're not anticipating that it would. It just seemed like an interesting opportunity in our largest market, and we took advantage of it. And financially, it turned out to be a smart move.
James Ratcliffe – Buckingham Research: Great. Thank you.
Operator: From Goldman Sachs, Tim Boddy has our next question.
Tim Boddy – Goldman Sachs: Thanks. I wanted to follow-up a little bit about some of the points you just discussed there. I guess the first question I get asked a lot by clients is around – is the move towards content more defensive or offensive? And you mentioned the hedge. Are you seeing a rising risk of increased long-term content costs and looking to hedge that, I guess in the way that Comcast has done pretty effectively with NBCU. Although I guess a major difference between the markets is that there's been a lot less content cost inflation, obviously outside of primarily exposed, et cetera] in the UK, at least so far in Europe. And then secondly, associated to that, if you think about acquiring the whole of ITV, it would be massive acquisitions by Liberty. It would substantially increase the cyclicality of your earnings. Is that something that could ever make sense for Liberty? Are you happy to rule that out?
Mike Fries: We really can't comment on anything around ITV, and our [indiscernible]. On the first question, around the hedge, that is one element of it. We know for sure, over time, most broadcasters will seek to gain retransmission fees and carriage fees from us in certain markets. It won't happen everywhere. Those numbers, by the way, won't amount to significant numbers. But in the end, we know that those conversations are occurring – have already occurred in Belgium, in particular. And will continue to occur, and that's a normal thing. As you point out, our content costs are significantly lower than our US peers. We're in the $5- to $7-per-month range, not the $35 to $40. And while that's going to grow as we invest in our SVOD platform, things like My Prime, OTT content, non-linear content, out of home rights – the things that we know will make our customers happy over the long term. Then, we're going to find that access to content rights, access to platforms that control important content will be valuable for us. Not just as a source or a hedge, but as a strategic outlet for the things that we're doing in the content space. So, a hedge is just one of many reasons to look opportunistically at free to air and broadcast networks in certain of our markets. It's deepening our relationship with important media outlets, important media voices that help spread the word, if you will, about what we're doing in video and broadband. Remember that we compete in every country with national platforms, whether they be incumbent telcos, mobile operators, or free-to-air broadcasters. While we're big in those countries, we don't have hardly anywhere a national platform. And having a national platform allows us to more effectively program, manage, and openly market our products to our audience. And that is, in the future, with Netflix and global platforms developing, that's going to be critical to us. That's the main advantage. That and having the direct access to content production that's embedded in those companies, like De Vijver – it has a very strong content rationale. So, that's the goal.
Tim Boddy – Goldman Sachs: And just a quick follow-up on that – maybe a different way of asking the question. I think when you sold Chello, you talked about looking to reinvest the roughly $1 billion you made there. Is that still the envelope you're thinking about with content? Or could you see it being materially more?
Mike Fries: We haven't ever put in our mind a – we didn't ring span the exact number of – in terms of what we will invest in content. And I don't think that's smart. I don't think you want us to do that. It could be lower than that. To date, even though there's quite a bit of noise around these few investments, it's $300 million. I'm not suggesting for a minute that that's not important capital, but in the context of the size of our Business, it's not significant capital. And to invest meaningfully more than that, we would have to be really confident of the opportunity. And thus far, we haven't seen any, and I don't know whether we will.
Tim Boddy – Goldman Sachs: That's great. Thanks so much.
Operator: We'll go now to Vijay Jayant with ISI Group.
Vijay Jayant – ISI Group: A couple questions. First on the Horizon platform – I think in Poland you were moving the UI to the cloud. And I just want to understand the timeline on that being deployed across the footprint, and what that could possibly do to hardware costs on those boxes? But also, just generally on Horizon, your colleague in the US talked about the market segmentation and where they were doing their X1 and X2 boxes platform. Can you talk about how you're targeting in different countries? Are they triple-play customers, and at some point you said will go to double play? Or how do you evaluate that market segment where you spend this capital on Horizon? And I have a follow-up.
Mike Fries: Yes, I'll let Balan speak about RDK and where we're heading with that. But in general – and Steve, if you'd jump in here if I'm missing anything – but in general, Horizon is marketed as a premium product today. We're getting between EUR5 and EUR7 depending on the market from incremental ARPU out of that product. As I said, it's pushing churn pretty much everywhere. So, we're bundling it into our most important and most valuable bundles. And we see it as a real draw and driver of those bundles where we've launched it. And I think consumers are reacting to it. So, it will ultimately, we hope, be in every country, and represent the vast majority, if not all, of our digital subs. But that takes time. And we also want to make sure people understand that this is a unique experience and a premium experience, and one they can't get anywhere else. Do want to speak about Poland and RDK, Balan?
Balan Nair: Sure. So, we have taken the Horizon platform, and we've done 2 things on cloud. One, we're moving the UI to the cloud. And two, we're also moving storage to the cloud. And this combination is going to drive our set top box costs down as well. We actually have a program in place right now with our vendors and the chip suppliers to build a really low-cost box to take advantage of these cloud technologies. Our Poland product is right in field trial now, and it's doing great. And this is based on the same technology that Comcast used for X1, X2 – it's called RDK, as Mike indicated. So, we're trying to build scale there with our technology as well. And we plan on putting this out way beyond Poland in various countries, and even in countries that we currently have already launched Horizon.
Vijay Jayant – ISI Group: Following up on the B2B business, obviously we saw some recovery in the UK. Any color on really some details on really what happened there? That was a flat business since the merger was announced. But also, any color on a road map across deploying the whole B2B strategy across the continent relative to at least US companies you under next on commercial revenues? So, any guidance, that would be appreciated. Thanks.
Mike Fries: Tom, do you want to speak about Virgin's B2B business?
Tom Mockridge: Yes. Thanks, Mike. Our B2B at Virgin has gone through a fundamental reorganization since the merger. We found a division, which, frankly, was poorly led, poorly integrated with the rest of the Company. I think under the new leadership of Peter Kelly, who joined us from Vodaphone, you've seen a significant turnover in his leadership group. The sales force has been at one-third the turnover amongst the 250 people there. And better integration across the Company, and particularly we see the colleagues in the service provisioning connecting the customers, and timing the customers. And the net effect overall has been, as you've seen, an increase in revenue and an increase in profitability. So, we're very positive about that turn. We're focusing more and more on the small business segment, which is an area where Virgin Media has probably not focused sufficiently in the past. And we think we can now take our consumer products, upgrade those into the SOHO segment and get some further growth out of that as well. But it's been pretty much a 360-degree turnaround, and some of the division has delivered that result.
Mike Fries: I think the opportunity outside of the UK is not meaningfully different in the strategic direction we're taking. And we really have a 4% market share in the UK today. And while we're in – and very little market share in small/medium, and even in SOHO, which is a great source of growth; and outside of the UK, that's what we're focused on. And the SOHO revenue stream is growing 20%, 30% a year, as it should. And we've got a very small market share in small/medium, which is going to require a small amount of investment for us in the infrastructure, and IT, and things like that. So, we're squarely focused on that segment of the market, which, for us, is largely unexploited to date. And that's a good thing from your perspective, because it represents significant upside and growth potential. B2B is almost 11% of our revenue; I think roughly a $2-billion run rate. So, it's not insignificant, and I don't know how that compares to the US guys, but I don't think it's meaningfully off their own revenue percentages. So, it's an important piece of business for us. It's one that I think we've also put new management at the European wide level that's a step up from – and reinforced from where we were. And that's helping us take the best of what we're learning in the UK and other markets, and rolling it out to countries like Germany, where we're just getting started on B2B. So, it should be a sustainable source of growth for a period of time here.
Vijay Jayant – ISI Group: Thanks, Mike.
Operator: We'll go now to Matthew Harrigan with Wunderlich Securities.
Matthew Harrigan – Wunderlich Securities: Thank you. Firstly, in the Netherlands, as desirable as the Ziggo deal is from the vantage point I think of the product roadmap for the consumer, and things like national footprint and marketing, Wi-Fi, BM&O arrangements, and all that, is there anything that would give you pause or give you latitude to renegotiate the terms with Ziggo? Today is the great unraveling day on TMT M&A; I know that doesn't apply to you, but just any thoughts that you had? And then secondly, if you're not commenting on ITV, you're certainly not going to comment on Formula One. But when you look at your capital returns over a long period of time, it's really been a great barbell buying and selling on the M&A side, stock repurchases. If you have a large content deal – I know this is tangential to Tim's query – is there anything in your DNA that would make you say: Well, from a financial engineering vantage point, this really works and is a compelling return? But you're rebalancing yourself more into content than you would think, as opposed to doing things interstitially in the 4 buckets that you talked about. In other words, if the return is there, are you willing to make a big foray? It's a little fuzzy, I'm sorry.
Mike Fries: Well, I understand where you're coming from on that. And I think if you look at the 3 deals we've done, for the most part, they're off balance sheet and levered. In all 3 of those major investments, at least those that have been announced, our equity investment is relatively small, given the size of our balance sheet. And the debt component of that structure is relatively high, and they're all off balance sheet. Now, is that a coincidence? No. I think we felt that in some instances, the best way to get started in this strategic content platform is to be a bit more creative on how you finance and structure these investments. So I do believe, Matt, that what you've seen to date is reflective of how we see the Business, and how we're going to structure deals potentially going forward, regardless of their size and their impact. We're going to look – we do not want to materially change the nature of our Business. It's not in our DNA, per se. But at the same time, we don't want to miss opportunities to – whether it's hedge or strategically empower our long-range plan. So, we're going to, I think, be opportunistic, and we hope that we have earned your trust to make investments that allow us to continue growing, and creating value for shareholders. That's how I'd leave it. And on Ziggo, no, there's no room for any changes, and we're looking forward to closing that deal in the second half as is.
Matthew Harrigan – Wunderlich Securities: Great, thank you.
Operator: Thank you. We'll take our final question from Nomura, James Britton.
James Britton – Nomura: Great, thanks very much. I was just wondering, in the UK, what's been the early reaction to the big bundles? The broadband growth number this quarter was certainly below my forecast. So, I was wondering if you could just call out the student churn impact, and just comment on the early month? And then, perhaps, also in the UK, could you just help us understand what moving to a full MVNO might do for your Virgin Mobile asset? Thanks. 
Mike Fries: Tom, do you want to grab those?
Tom Mockridge: Yes. Thanks, Mike. On the first question, your observation is that in Q2 we didn't have the strength in customer acquisitions that we might have wished. It certainly was a better quarter than the comparable period last year. I think it's important to understand, in Q2, that's the period we were introducing the big bundles, which involves a significant change to the training of the teams, to the way the outbound calls are made, to the marketing, to the door to door, to the whole scope of it. And that was the right quarter to do it, because a quarter that's traditionally a softer quarter. We have those now in place. And already in the run up to the football season, we are seeing very effective sales, and so we have optimism that that will work, from both an acquisition and a churn point of view. So, we believe that's an area which we have addressed an issue where we weren't being as successful as we could have been, and we've now restructured and we can move forward there. In terms of the full MVNO, and that is going to give us a fundamental ability to serve the customers in a much more integrated way. In the environment, we have 2 different IT stacks, very separate teams dealing with mobile and dealing with the cable. We can truly integrate that. So, we have to be a quad play operator, both behind the scenes and to the customer-facing home, which will enable us to better service, to better integrate, to better market those people. So, we think that's a big part of our – us building the quad play business, which already has begun well. I think we're up about 16.7% quad play customers. But we think there's a lot of upside there.
James Britton – Nomura: A quick follow-up on quad play. Do you sense that, in the UK, that the market can move to market mobile to the household, rather than to the individual? 
Tom Mockridge:  Well, that's exactly what we are in the marketplace doing today. And look, it's early days, and we've got to prove the case. That we believe, just as we've seen the turnaround in the mobile business, and the way we've managed to get some real gains out of that by integrating it better. Literally, just in a marketing sense and a cooperational sense across the Business. Once we integrate that more fully with our cable offer, I think the answer is yes. And in the end, the bundle is a better deal for the consumer. And people understand that; the customers can be much more sophisticated about handling these bundles. But that's a benefit to us, of course, is that we are taking a larger share of their wallet, and we're getting a lower churn rate. So I think the answer is, yes, we believe there's an absolute opportunity there.
James Britton – Nomura: Okay. Thank you.
Operator: Thank you. That concludes today's question-and-answer session. I will turn the conference back to our speakers for any additional or closing remarks.
Mike Fries: Okay, thanks. Listen, we always appreciate your support – your willingness to get on these calls. We know they're long and full of information, but you know where to find us if you have additional questions. It should have been clear that we feel very positive about several things in our Business, not the least of which is our guidance for the year, both operational and financial. And secondly, that we continue to be committed to our value creation strategy, in particular, our capital structure and our buybacks. And through the end of next year, we've got quite a bit of work to do there. And we intend to reinvest that capital to get that done, and that should also be, I think, a positive thing from your perspective. And we're in a good position to evaluate strategic opportunities, if and when they arise. To, again, building scale and solidifying our platform to take advantage of the growth opportunity that's ahead of us. Europe is a unique environment, and we, I think, have demonstrated our ability to take advantage of that environment and continue to grow organically, which is the number one thing. So, thanks for joining us, and we'll speak to you in the third quarter. Have a great day.
Operator: Thank you, ladies and gentlemen. This concludes Liberty Global's second-quarter 2014 results conference call. As a reminder, a replay of the call will be available in the Investor Relations section of Liberty Global's website at www.libertyglobal.com. There, you can also find a copy of today's presentation materials.